Thibault de Tersant - Senior Executive Vice President and Chief Financial Officer: Good morning. I am glad to present our First Quarter Earnings Results to you this morning. Our revenue reached at €307.9 million in this first quarter, which was a growth of 10%, excluding currency impact. Our software growth was 14% and the operating margin, as you know, reached 22.8% with an EPS growing by 5.1%. The performance in software was an increase of 14%, as I just said. In service, we had a decline of 10%, which was not a complete surprise understanding that we are winding down our general management fee support. If we dig into the software revenue growth, it was truly made of good dynamic on both new license revenue with an 11% growth excluding currency impact, and recurring grew 16%, driven by the installed base increase and some further improvement in the SolidWorks' subscription attach rate. As a result of this, the recurring portion of our software revenue was 63% of total, an increase compared to last year where it was 61%. From a geo standpoint, Americas grew by 10% in the first quarter, Europe was the best growth area at 12%, and Asia grew by 9%. All these regions in software revenue grew double-digit. We had actually pretty nice growth in Americas across large and mid-size accounts and including industrial machinery. In Europe, Germany had a very, very good growth and strong demand and here too it was including industrial machinery, Eastern Europe was also very dynamic, as well as Russia. In Asia, we had good growth in Korea, in China, in India, and of course a strong demand in Japan as well. Asia was more hurt by services actually. So the software revenue in Asia was growing 12%. By product line, PLM grew by 14% with a very good performance on the CATIA side of 21%. This does include, of course, ICEM, but even without ICEM, the CATIA performance is very strong. ENOVIA was slightly disappointing at 1% growth for this quarter. Having said that, we had a good performance last year for ENOVIA and we have a very solid pipe in front us for the ENOVIA business. So, we think that our ENOVIA results are going to slightly back-end loaded in 2008 with customers evaluating now Version 6. And mainstream grew by 15%. These results were actually backed by good volume growth of 7% on the CATIA side to 8300 units and 15% on the SolidWorks side, very consistent growth in the units for SolidWorks compared to the past three years. In terms of the gross margin, there is very little to say, at 94.7% gross margin in software. In services, because of the decline of channel management fee activities, we had also a decline in margin to 7.6% gross margin for services. Operating income was 22.8%, an increase of 70 basis points compared to one year ago, and grew by almost 8% to €70 million. The financial result was essentially zero. Due to the very sharp weakening of the dollar at the end of the quarter, the trade account receivables evaluation hit the financial revenue at the last end of the quarter. We had a 30.8% tax rate for the first quarter, but we still believe that for the full year we should be at 31.5%, and so we grew 5.2% to a net income of €48.7 million. EPS grew by 5.1%. Having said that, our EPS growth would have been 15% without currency impact. Our balance sheet was very strong. In this first quarter, as you can see here, our cash and short-term investments reached €683 million, and our net cash was therefore at about €480 million, after subtracting our loan debt of €202 million. The cash flow from operations reached €88 million in the first quarter, essentially driven by net income, a €31 million change in working capital. If we now turn to the business review, let's review the performance of our different sales channels. And first of all, our business transformation channel for large accounts, which represented 55% of our revenue in 2007, grew double-digits in this first quarter. We had actually a good traction coming from large accounts in this first quarter, and we had capacity increases, if you remember, in both the IBM sales force which is our main partner for business transformation, and in our own direct sales channels and I think that these investments are paying now and transforming into good performance in terms of revenue in the first quarter. The traction was quite good in automotive and aerospace, as well as in new verticals. If we now go to our new value channel for mid-sized and small companies for PLM, this did represent 25% of our revenues in 2007. I think we can say that most of the transition has been done. We are now in-charge of this channel in 66 countries when you look at the true political definition of country, and we did many transitions in this first quarter, including ASEAN, all the CENAR [ph] countries, Germany, quite large, India and Japan, North Africa and Switzerland, all of this in this first quarter. So what is now left to be done is simply Greece, Israel and Turkey. We have seen a continued growth in capacity in these indirect channels and particularly BRICs the new so called BRICs countries that certainly we don't like anymore to call emerging because they have already emerged quite a lot, where we are adding a lot sales capacity. So, if we now try to take some observations of all this transition, we can say that 99% of the former IBM partners have become Dassault Systemes VARs. We have started to recruit new VARs in a significant manner. We are seeing good demand in supply trends and industrial machinery. If we now zoom on Korea, as an example of a country that transitioned one year ago, we have seen nice increase in capacity inside existing VARs, plus an increase in the total number of VARs from 14 to 20, as we speak, and what is probably more interesting, we have seen that the number of new customers which this channel was able to sign in a given quarter tripled compared to one year ago. Another example may be is Latin America where we have been growing the number of VARs from 8 to 28 in just one year, no, may be 18 months, and where we have been also expanding our coverage and where we are also seeing good traction in new verticals in Latin America, particularly in oil and gas, in apparel and mining. Turning now to the professional channel, we think that this channel, which did represent 20% of our revenues in 2007 has been performing well in first quarter with a 15% increase in revenue and also in new seats. We have been able to do that with a relatively flat performance in Japan, but we have been working hard on strengthening our organization in Japan and we think that we should see renewed growth in Japan for SolidWorks in the second half of this year. And we have been increasing capacity in the channel and particularly adding many new VARs in BRICs countries. If we now turn to our products, Version 6, we have announced this new platform and I would like to show you a quick demonstration of what we are able to do with this new version and I am going to first concentrate on the ability to do collaborative innovation, collaborate with Version 6, have a life-like experience of new products and certainly do online creation of parts. So, let's look at this demo. We start from virtual earth geo-localization. What you see here is our new headquarters where we will move this fall. And the designer inside this nice buildings, hopefully not too expensive buildings, is starting to surf on its 3D data. You can see that it's very easy with 3DLive to find 3D data without having to understand even the names of the parts. You can just look at them. So we identified this buggy and there is a problem with this buggy because there is now fuel tank inside the buggy. You don't go very far without a fuel tank. So this designer is going to stop working on it. With CATIA Live, as you can see, there is menu. There is no menu, there is just a mouse and the different operators are available when they need to be. So we have done here a first conceptual design of this fuel tank. So we are leaving now. Now that this conceptual design has been done, we are leaving our headquarters and we are going to Tokyo where a detail designer is going to take over based on this conceptual design and do the detailed design. Still using CATIA Live, still no menus, you can see the power of this geometry where you can essentially move these features and the parts in a very easy manner. And so the detailed designer in Tokyo has created the fuel tank. Now let's do a review. You cannot see really the quality, but the quality of the representation on this PC screen is very good. I am sorry, you cannot enjoy it truly. And now, we can create a scene taking an image on Flickr and making it 3D, this is a service available that we have put on Facebook called the 3D collage. I invite you to go to 3D collage in Facebook, you can take a picture, an image and make it a 3D environment and we can place this buggy and experience it in this environment. This was the quick demo Version 6. Well, now I would like to just spend a little bit more time on the so called business processes. We have been speaking about business processes now for a while, they are becoming reality with Version 6. And I want to give you an illustration in consumer packaged goods where generally our customers, they have four key challenges. Number one, they want to keep costs down, no surprise, but they also want to leverage what they call now crowd sourcing, try to use their consumers as innovators, creators, finding ideas inside their consumer networks. They certainly need now to care more about environment and develop greener products. And finally, regulations are becoming more stringent and I need to comply with those regulations, in terms of food, in terms of decomposition of products, et cetera. So if you look at it, PLM for consumer packaged goods can bring many contributions in this innovation cycle, but in terms of supporting business processes in this domain, before Version 6, we have nearly two areas of contribution that you can see here, in terms of designing packaging for these products and manufacturing, help them also on manufacturing process for their goods. Now, now what we can cover has increased to 10 processes including the planning of a portfolio, the project management in terms of issuing of releasing a new product, giving the consumers for crowd sourcing, a life-like experience of new products, helping to do specifications management for new products and of course comply with regulations and do supply supplier sourcing, very important, how to source in a3D in an easy manner. So, the number of business processes has increased, is increasing with Version 6 quite a lot. I'll give you an example. Barilla is one of our customers and Barilla is certainly pretty happy with the solution which has reduced quite a lot lead time for all the product data gathering. Now, let me turn to our objectives for 2008. 2008 revenue growth is going to be driven by software, as we know. We'll have new license, growth driven by the sales capacity in our channels having increased 15% last year, a very good pipeline in both core and new industries, and our efforts to continue to build the pipeline and do lead generation for channels, the announcement of our portfolio with Version 6 and business processes, and our recurring software revenue will be driven by the increase in our installed base coming from last year. A very good demand in simulation, SIMULIA is performing and adding only recurring revenue to us because 92% of SIMULIA revenue are recurring, and also because we are doing some additional seats that are under leasing conditions. What are our levers growth? In core automotive and aerospace industries, many new programs are still being done. Myself, I have been surprised in researching about the new programs being launched in aerospace, the Airbus A350, but Boeing has actually numerous new programs under development right now and many of them are not known. So I cannot disclose them, but there have been new programs. Gulfstream with G650, the Bombardier C series, Mitsubishi Heavy Regional Jet, the Cessna's Citation Mustang, the Bell Helicopter 41X, it's an endless number of new programs in aerospace that are being launched. I mean, in automotive, certainly all OEMs have plans to accelerate the issue of new cars. BRICs countries are now investing to become key players and are doing their own aerospace and automotive programs. And certainly the need for globalization, the need to go through better energy saving is also pushing OEMs and supply chain to invest. An example, Bell Helicopter, recent win... was actually a win for CATIA and ENOVIA MatrixOne but many CATIA seats where installed as well as the installation of our products sourcing of spare parts ENOVIA Collaborative Enterprise Sourcing, in aerospace one of these example. In BRICS, Chengdu Aircraft which is one of the leaders in China in aerospace industry and Chengdu witness that we are able to reduce their development time by 50% by CATIA and DELMIA. Tata Motor also another example in India. Quickly growing a company which in this first quarter placed orders for DELMIA and SIMULIA which were significant orders. In new industries now, we can actually offer many business processes and may products in these new industries. So we have actually variety of entry points inside these new customers that we can use being in simulation, in design, styling collaboration with CATIA, also with SolidWorks and here you can see a win for SolidWorks which is called Leviton one of the leaders in electrical and electronic components. They are producing 25,000 different components and have decided to standardize on SolidWorks and replace both the combination of PTC and CoCreate. Another example, in construction, one of the vertical we are targeting with the Skanska, the famous Swedish construction company which selected ENOVIA MatrixOne and 3DLive and using them to manage their product lifecycle. So based on these growth ladders, we think based on first quarter as well. We think that we can confirm 10% revenue growth, excluding currency impact in 2008. We are strengthening slightly our software growth at 12 to 13% for this 2008 year. Operating margin, we maintain 27% to 27.5%, but we addressed our currency assumption to $1.60 per euro for the coming quarter, starting in the second quarter, so for the year which would compute at $1.57 per euro and for that reason we are decreasing our revenue, reported revenue to by 40 million to 325 billion to a 340 billion. And these 3% decrease in reported revenue has the same impact on EPS of course which... so we had used to $2.10 to $2.17 which is range of EPS growth between 6% and 10%. What you can see hear is the deviation between February revenue objective and this new objective where essentially there is no other trend than this dollar to euro conversion rate which has an impact to €42 million and EPS has impact the same, impact going from $2.17 to $2.22 to $2.10 to $2.17 now as our EPS projected. I can now take your questions. Question And Answer
Unidentified Analyst: Thibault, can you elaborate little bit on the environment, business environment particularly in the U.S. Does it seem to be bit more decoupled or perhaps outperforming the rest of the industry and then secondly what are your expectation around Europe are you factoring in a any slowdown in second half of the year?
Thibault de Tersant - Senior Executive Vice President and Chief Financial Officer: In the U.S. if you remember, we were not so concerned and of course with a weak environment is not very pretty. But thought we have balancing factors, if I may say so in the U.S. which were very high level of recurring revenue in U.S., which is the highest we have in the world. An increasing capacity in channels which was quite good in the U.S. this new indirect PLM channel and also the focus on the SolidWorks 1, and the traction aerospace and automotive that we were able to see earnings confirm with this first quarter. For there any doubt we had was in industrial equipments and if we look at first quarter actually we have not seen very weakening industrial equipments but certainly it's the area that we want to continue to monitor. We have also seen that in the new verticals, the economic environment has less relevance because for them to go PLMs is an immediate benefits which is to some extent larger... than from for vertical that has been used to using PLM before. So the pattern in new verticals in energy, construction, electronics, apparel is quite healthy so far. Given this reasons, I am not too concerned about our performance in U.S. for 2008. In Europe, I think to some extent first quarter was a positive surprise. We were not expecting depressing news in Europe at all and especially we think that in Europe there was a little bit ofsort of a under investment in the past years and that there was some catch-up could happen, should happen sometime. But we have been pleased by the performance in Germany, in first quarter and it seems that there is healthy business prospect for Germany as we speak. So that is probably one of the reliefs we had with the first quarter because based on the currency fluctuations we were starting to be concerned that German market would become less dynamic, particularly in the industrial equipment and I am glad too have been proven wrong by the first quarter.
Unidentified Analyst: Could I just tell...
Thibault de Tersant - Senior Executive Vice President and Chief Financial Officer: So for Europe in the second, you are right for Europe in the second half of the year, what we see... I mean... we are not trying that to be over optimistic, but we believe that there will be opportunities with our business processes and Version 6. So, we are not in fact expecting a deep weakening in the second half of the year, we think that in the single half of the year in Europe, we should be able to maintain close to 10% growth.
Unidentified Analyst: And could I just pass that question from the other side? A number of global companies have said that the great thing is they are global, and whatever happens in the U.S. or Europe, Asia is a growth area for them. With you, it's... it's doing fine, but it's not increasing in importance as one might expect. So do you expect Asia to... on a one, two year view to grow faster than the rest of the business?
Thibault de Tersant - Senior Executive Vice President and Chief Financial Officer: Yes, actually. First of all, Asia has been growing extremely strongly for us in the past five years. If you look backward to the performance, so Asia is now an important part of our revenues, but all-in-all, I would say yes, that for the coming two years, Asia should also enjoy the best growth in our revenues.
Unidentified Analyst: Just on your on the margin guidance what you have the currency impact takes-off about 3% from the revenue guidance, but there should be a transactional boost of around 40-50 basis points because of the currency movements at the operating line. Any reason for your reluctance to not implicitly raise kind of operating margin guidance, because the currency does deliver 40 basis points?
Thibault de Tersant - Senior Executive Vice President and Chief Financial Officer: The currency should boost there by 30 basis points, more or less.
Unidentified Analyst: Okay.
Thibault de Tersant - Senior Executive Vice President and Chief Financial Officer: And I'm not reflecting this improvement because I am first of all conservative by nature. And second of all because we may have some volatility of currency and so even if... we are giving an average for the year we may face same volatilities including with the yen, because we have kept our yen forecast at 160 yen per Euro. But obliviously we may be hit little bit by the yen in one or two quarters. So I'm trying to get some protection for that.
Unidentified Analyst: Second question is on SolidWorks pricing as been down 9% year-on-year on a constant FX basis just 3%, do you expect this to continue are we seeing that dynamics in the market where SolidWorks pricing will continue to go down over a period of time, or is it just one-off and we shouldn't worry about it?
Thibault de Tersant - Senior Executive Vice President and Chief Financial Officer: Alright. Actually the dynamic of SolidWorks pricing is very dependent on performance of SolidWorks in Japan because like for any other software the Japanese prices for SolidWorks are higher than in the other regions of the world. And so when number of Japanese seats in the mix, world-mix is going down. It has an influence on SolidWorks price.
Unidentified Analyst: That is more a blend effect kind of...
Thibault de Tersant - Senior Executive Vice President and Chief Financial Officer: It's a blend effect... if you look at the price of SolidWorks ion the different regions, it is essentially unchanged.
Unidentified Analyst: Just carrying on from this question, if we split Asia PAC into Japan and non-Japan Asia, do we see a sharp... accelerated growth rate in non-Japan Asia and have we seen it in the last two years and did we see it growing much faster than group rate in the next two, three years. Not just, just about group, but being a growth driver, non-Japan Asia per se.
Thibault de Tersant - Senior Executive Vice President and Chief Financial Officer: Yes, actually. When we look at Asia outside Japan, it is growing faster than the Asia region and faster than our total revenue.
Unidentified Analyst: Okay. Thank you.
Unidentified Analyst: Hello, this is Joseph Bori [ph] with Deutsche Bank. Two quick questions here. The first one is on the Tata Motors deal you announced you indicated the products, but is it possible for you to elaborate a little more in how big is this deal, and how do you expect this to grow within that customer. Obviously Tata is a very large conglomerate. And the second question which is just more clarification to see if I can understand why the services margin... I do understand that you said the services revenue is going down because you are winding down on this services support for the channel. But margin seems to be down as well, is that for the same reason, could you elaborate on that please? Thanks.
Thibault de Tersant - Senior Executive Vice President and Chief Financial Officer: Okay. So what we are announcing is a win inside Tata Motors Corporation and it's essentially for DELMIA and SIMULIA for... it's not a very large deal. I don't think we have approval to disclose the amount, but it's a very interesting deal, because it means the high level of sophistication and in usage of our tools, DELMIA going to be used to do manufacturing process, definition. And so this manufacturing process definition is going to be done in the context of the Tata motor factories. And we will enable high level of flexibility of where the cars can manufactured and changed from a factory to another. And SIMULIA is used I think essentially to do stress analysis in car development. So it's an interesting win. But it's not a mega win and actually if I can take this opportunity. In first quarter one of the good things about first quarter is that we didn't have any mega transaction, the largest was 1.5% of our revenues in first quarter. You had another question. The services margin. Thank you. Services margin decline is essentially coming from the fact that when we are doing these channel management activities, most... a good portion of the cost credited to this channel management activities where by nature in marketing and sales expense line. So these things were boosting slightly our service margin and of course when they stopped, they have negative impact on the service margin. Having said that, I fully appreciate that we need to continue to work to improve our service margin and it's certainly an initiative that we are going to undertake in the coming quarter.
Unidentified Analyst: Hi. Good morning it's Patrick here from Morgan Stanley. To follow-on that question we understand the sales in marketing evolution but the G&A cost line went up quite dramatically since last year it went up to more than 8% versus 7% of total revenues, why is that? And what can you do to decrease that one? And then I will get another question afterwards. Thank you.
Thibault de Tersant - Senior Executive Vice President and Chief Financial Officer: Probably, I should eliminate myself. If you look at our G&A line in average terms the increase in G&A staffing is relatively consistent with the increase in marketing and sales and they are both 14%. And there are two reasons for this increase; one is put in place this indirect PLM channel, 66 countries with all the systems and the staffing to take the orders and invoice that has been necessary. And the second reason are the two small acquisitions that we did which both driven... the higher percentage of G&A staffing that you find in small companies in ICEM and Seemage had some impact on a G&A staffing. If you look now at the increase in G&A expenses in comparison to first quarter of 2007, we had a peculiar, first quarter of 2007 because we had successfully got a settlement in Japan from a legal claim that we had. So the amount of this settlement which was €2 million came as upset of G&A expense that the way to accrue all these type of settlements accounting principles. So impact the comparisons base in first quarter of 2007 was minimized by €2 million. If you neutralize this effect, you have then a much more understandable increase in G&A expenses, that's increased, leverage staff of 14%.
Unidentified Analyst: Both the CATIA you new seats that grew 7% which is one of the highest number we've seen since 2005, begin of 2006. Can you elaborate bit on that because it's a big number and the big driver going forward so was there a big deal in there or you said there was no big deal as earlier but what is driving this big number of seat growth?
Thibault de Tersant - Senior Executive Vice President and Chief Financial Officer: Well, it's just the combination of very decent business for catering larger accounts. And the I mean the added value of this PLM indirect channel that we have put together and we have a sales capacity increased. I think the number one factor actually to explain is increase the number of CATIA seats is capacity, sales capacity. I really believe that this as had been a limiting factor for CATIA growth in the past years. And that we are now are enjoying a positive impact, even if the economy is difficult the capacity increase is paying.
Unidentified Analyst: Is it mainly from existing customers or new customers? Basically that we've see in the growth, can you split this?
Thibault de Tersant - Senior Executive Vice President and Chief Financial Officer: Well, in large accounts, it's essentially existing customers ongoing in repeat business. In the channel again, the number of the new customers is going up rapidly.
Unidentified Analyst: Good morning. Jean-Christophe [ph] Exane BNP Paribas. Sweet, quick questions. First one is on the SME channel in Germany and Japan. When can you be sure that there is no disruption, once the work is over in your various sites? Second one is on... when I can expect significant growth as of Q3 this year, and the third one is on the simulation segment. It is now concentrating faster? Do you intend to participate through this consolidation?
Thibault de Tersant - Senior Executive Vice President and Chief Financial Officer: Okay. I think in terms of channel transitions we... I mean... we know very quickly that it has been successful and if it has been successful in Germany and Japan. So I am expecting that for sure second half of this year will tell us. And we probably are into receive additional good times in second quarter, but... but okay, let's be really realistic second half will tell us the level of success in Germany and Japan without a doubt. For ENOVIA, yes, I think that the growth for ENOVIA can be a little bit back-end loaded this year. And I would probably place my bets more on fourth quarter and third. Because third quarter is always the quarter of the vacation and more uncertainty, so to truly see a trend fourth quarter is probably a better place to look at. For the stimulation market there are clearly... there is a consolidation there... our principle is not to consolidate for the pleasure of ourselves, but to find some additional technologies that we need to have a complete stimulation portfolio. We are working like now as you as you know on our stimulation platform and but in terms of applications to be successful we probably need some additional technologies, but our rationale is not consolidation per se. We would be very delighted to find those technologies at a very cheap price inside very small companies.
Unidentified Analyst: Thank you, Thibault, couple of questions if I may... housekeeping question. Just on the SME channel could you tell us what the license of revenue you got this quarter from SME channel were versus one year ago. Also follow-on from that license revenue you got from IBM this quarter versus one year ago as well.
Thibault de Tersant - Senior Executive Vice President and Chief Financial Officer: So, I don't have precise figures in mind, my memory is starting to deteriorate maybe. But I would say that... for the meet size PLM channel, we probably increased slightly its weight, it was 25% in '07 we probably increased it slightly because again the performance in large account was quite good in first quarter. So, this had a limiting effect from the increase in the total weight of this indirect channel.
Unidentified Analyst: And on the IBM, contribution from IBM?
Thibault de Tersant - Senior Executive Vice President and Chief Financial Officer: IBM contribution in total revenue decreased slightly, having said IBM performance wise was quite good in first quarter and we are seeing I think the benefit of the capacity increase that IBM has been doing for the PLM sales force that they have.
Unidentified Analyst: And then this is follow-up on... I know that you gave three periodic reviews IBM as to which accounts you would be managing directly and which will be management at IBM have you got any plans to transfer some accounts to yourselves directly, this year any in the pipeline?
Thibault de Tersant - Senior Executive Vice President and Chief Financial Officer: I think we have a very clear differential, in our agreement with IBM where IBM has a list of accounts that are defined by name and from time-to-time we may have some evaluations of that in both ways. But they are going to be extremely minimal I think because it seems like the situation is pleasing customer as we speak.
Gerardus Vos - Citigroup: Hi, it's Gerardus Vos from Citigroup. Three questions if I may. Just firstly on the kind of channel we spoke quite a bit today about kind of an increase in capacity. Would you be able to kind of quantify the impact, what will happen kind of top-line. Secondly on the R&D cost that came down as a percentage year-over-year, while the headcount I think went up. Could you clarify that and finally, just on the kind of closure rates have you seen any kind of change there towards the end of the quarter? Thanks.
Thibault de Tersant - Senior Executive Vice President and Chief Financial Officer: Okay, it's hard to differentiate exactly between capacity increase, lead generation increase, geography, the sources of our growth. I think that for sure we wouldn't do be delivering a 14% increase in software revenue without the about 15% capacity increase we had last year. But to point exactly the contribution of the capacity increase is a very difficult task. But for sure it has been very positive for us in this first quarter. And to your second question on research and development I'd like to highlight that what we are doing is we are successful at managing the cost of our R&D infrastructure and at the same time increasing the staff in R&D, which would be, if you look at the increase, combined increase in cost of software and R&D, in staffing we had a 9% increase in this first quarter, so there is certainly not a disinvestment in R&D, but there is certainly also a lot of attention placed at minimizing the cost in R&D and we are doing many things to neutralize hardware resources and networks in order to do that. And I guess you had the third question?
Gerardus Vos - Citigroup: [indiscernible]
Thibault de Tersant - Senior Executive Vice President and Chief Financial Officer: We have not seen truly a change in closure rates, we have seen a little bit of an impact from Easter vacation in the second half of March and...but it was very clearly related to Easter vacation, so if there was a little bit of a change in closure rate, I think this was the reason and no other.
Unidentified Analyst: Thanks. A couple of housekeeping questions first, could you give us the ICEM contribution in the quarter? And then the DSOs spiked up in the first quarter and cash flow is affected as well, can you talk about what happened there and what should expect going forward?
Thibault de Tersant - Senior Executive Vice President and Chief Financial Officer: Okay, we have sort of decided to not confuse with too many figures, so we don't give the ICEM contribution per se, but it was not a large contribution, contained at about 1% of total revenues. The DSO is increasing slightly and that's not a surprise, compared to last year, because there is seasonality in DSOs so you need to compare to first quarter of 2007, DSOs increased by three days from 80 to 83 days, and this is completely linked to... to the establishment of our indirect channel. We're replacing the IBM way of paying royalties by this VAR channel which is enjoying a is slightly longer pending delay because they need to get paid first by customers. So this is the impact of three days, it's essentially focused on this migration to the more indirect sales for PLM. And there was, as you pointed out, the corresponding impact on working capital, although there were some other factors than just this impact on working capital. Fairly a technical one, so...
Unidentified Analyst: Going forward then it's sustained because of the mix shift towards resellers. And then just finally, in terms of CATIA the 7% unit growth, how sustainable is that, what would you expect, the trend through the rest of the year to be?
Thibault de Tersant - Senior Executive Vice President and Chief Financial Officer: I think...I think this is the type of unit growth that we should see being sustained for CATIA, because that's the contribution of PLM indirect channel and the stream of business that we see in large accounts. So I will believe that it's a sustainable type of figure.
Unidentified Analyst: But surely it relates, it will give you a much higher revenue growth number given SolidWorks is doing very well and what you said about ENOVIA, then it all points to maybe higher growth than the 12% to 13% you're looking for?
Thibault de Tersant - Senior Executive Vice President and Chief Financial Officer: Not necessarily. The point is that there is a trend in the way our revenue growth is going to happen. It was strongly driven by recurring revenue in 2007. The same performance cannot repeat in 2008, so the recurring revenue growth is going to moderate and be replaced by a better strength of the new license revenue as I have pointed out before. So I think this 5%, 6%, 7%, 8% growth in the CATIA units is very consistent with the current guidance we give.
Unidentified Analyst: You said 5% to 8% for the year, this sort of range. Okay, thanks.
Unidentified Company Representative: We will wait just one minute to see if there is question from the conference call. And there is one [indiscernible] can you take the question please?
Operator: Thank you. We do have a question coming from the conference call from Sebastian Thevoux [ph] from Oddo. Please go ahead.
Unidentified Analyst: Thank you, I was wondering if you could ....shed some colors on what the other PLM software performances have been with regards to DELMIA in particular, if you could give any details and I was wondering as well if you could share with us what you have in plan with regards to self capacity addition for the BRICs, please? Was it clear?
Thibault de Tersant - Senior Executive Vice President and Chief Financial Officer: Yes, it was clear, thank you Sebastian. So in first quarter, the performance was driven by CATIA SIMULIA and SolidWorks essentially. We had more modest performance for ENOVIA as you have seen, although there is a very healthy pipe of opportunities for ENOVIA in front of us. So I think that, we are going to see a strengthening of this product line in the course of the year with the performance particularly of Version 6 in this area. We feel very comfortable. We think that the same traction will happen with DELMIA and that DELMIA is also another product line that will benefit quite a lot from Version 6 because of the ease of use that Version 6 is going to bring, and certainly also a much improved ability to manage the DELMIA data, based on the Version 6infrastructure with ENOVIA. So going forward, we are counting on the strengthening of these two product lines. Now since capacity in BRICs countries has been increasing quite a lot last year, and this year, we are also planning to further those increases. I think that for our own sales forces, we are targeting about 20% increase, but more importantly, we are hiring a lot of new VARs and distributors in BRICs countries, and so the total capacity increased including the indirect channel capacity increase, can be higher than that.
Unidentified Analyst: Thank you.
Operator: No more questions further.
Thibault de Tersant - Senior Executive Vice President and Chief Financial Officer: Okay, well, no more questions from the conference call?
Operator: Nope.
Thibault de Tersant - Senior Executive Vice President and Chief Financial Officer: So, thank you very much for participating through this review of our first quarter, and I look forward to seeing you soon.